Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss BurgerFi International's financial results for the third quarter ended October 3, 2023. Joining us today are Carl Bachmann, CEO; and Chris Jones, CFO. Following their remarks, we'll open the lines for your questions. Before we begin, I want to remind everyone this conference call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be related to BurgerFi's estimates of its future business outlook, liquidity, store opening plans, same-store sales and restaurant operating margin growth plans, prospects or financial results, including projected sales, restaurant EBITDA. Forward-looking statements generally can be identified by words such as anticipates, believes, estimates, expects, intends, plans, predicts, projects, will be, will continue, will likely result and similar expressions. These forward-looking statements are based on current expectations and assumptions that are subject to risks and uncertainties, which could cause the company's actual results differ materially from those reflected in the forward-looking statements. Factors that could cause or contribute to such differences include, but are not limited to, those discussed in the annual report on Form 10-K, the year ended January 2, 2023, and those disclosed in other documents that the company files with the Securities and Exchange Commission. All subsequent written and oral forward-looking statements attributable to BurgerFi or persons acting on BurgerFi's behalf are expressly qualified in their entirety by the cautionary statements included in this conference call. The company undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements except as required by law. Given these statements and uncertainties, listeners are cautioned not to place undue reliance on such forward-looking statements. Also, the following discussion will contain non-GAAP financial measures. For a discussion and reconciliation of these non-GAAP financial measures, please see the earnings release for the third quarter 2023. I would also like to remind everyone that this call will be available via telephonic replay for two weeks starting today. A webcast replay will also be available via the link provided in today's press release, as well as on the company's website at www.burgerfi.com. Now I'd like to turn the floor over to BurgerFi's CEO, Carl Bachmann. Carl, you may go ahead.
Carl Bachmann: Thank you for joining us today, and we appreciate your interest in BurgerFi. Let me begin by thanking our entire team, franchisees and employees for their dedicated and hard work in this challenging environment. Our third quarter performance is clearly unacceptable and certainly not reflective of what we believe these brands and the people in this organization can accomplish. Having arrived at the company only 10 days into the quarter, these results are in no way indicative of the work we are doing or where we intend to take the business. As mentioned on our last quarterly earnings call, we are implementing strategic priorities that we believe are setting the company up for long-term profitable growth. And as we embed these positive changes into our operating model, we highlight our early and ongoing wins as part of this journey so as to gain your confidence in our vision and ability to build shareholder value from current levels. Positive initial trends in the third quarter succumb to softer performance later in the quarter as we lapped last year's 20th anniversary celebration in Anthony's, coupled with the impact of reduced marketing spend initiated prior to our arrival. Similar to others in the industry, we also were impacted by softer performance in South Florida, one of our key markets. We believe this was due to seasonality as the region returned to more normalized trends. Importantly, the challenges of third quarter are behind us now with many of the initial initiatives we put in place taking hold, including the expanded menus at BurgerFi and Anthony's. Most recently, we successfully executed the biggest enhancement of the BurgerFi menu in the company's history, adding wings and salad bowls, and the response has been resounding. This is only the beginning as further menu refinement, including new chicken sandwiches, will hit company stores by the end of the month. So, it's official, BurgerFi has entered the chicken wars, and we are only getting started. These updates are critical to the brand's turnaround as they eliminate the veto vote, expanding our high-quality offering to an even larger segment of the market. BurgerFi is also accelerating the adoption of technology to drive food costs down, which are now approaching industry benchmark levels. Looking forward, with the combination of new unit growth and improving same-store sales trends driven by our expanded offering and overall more effective marketing messages, we anticipate BurgerFi returning to positive comps in early 2024 and positive EBITDA by the second half of 2024. Additionally, we're equally confident in the return to positive comps at Anthony's, driven by similar initiatives, including menu modification and aggressive focus on food costs and the benefits from an updated POS platform. Perhaps, most importantly, we are setting stage for franchising company-owned Anthony's stores starting as early as the first quarter of 2024, but more on that later. To give you a sense of why we are confident that we can reach these goals in 2024, I'm going to follow the form from last quarter and provide a detailed update on our five strategic priorities. Step one is infrastructure. It starts with employees. I believe we must have the best team on the field to play, and the need to develop and train them properly. In just a few months, we have already been able to decrease turnover at both brands that significantly reduced the training labor needed at the restaurant level. These efforts have resulted in higher consumer satisfaction scores as well as faster throughput and ticket times. While these encouraging metrics are not reflected in our financial performance, they are leading indicators that we are on the right path towards higher sales and margins. We plan to build upon this during the remainder of the year and expect to see an improvement in the labor line at BurgerFi and Anthony's over the next year. As noted above, we are all upgrading our POS system across both brands, so they are on one system to allow for better inventory control. At Anthony's, we are evaluating outfitting our servers with handheld tablets that allow them to beam orders directly to the kitchen which will help drive efficiencies. Step two, taste and quality, which are paramount to everything we do and why we're going to make sure we continue to have the best products and most innovative LTOs. In October, Anthony's launched new classic menu items, including a Chicken Alfredo and Artichoke Pizza, and two pasta dishes, Spaghetti and Meatballs and Italian Fettuccine Alfredo. Guest feedback has been encouraging so far. At BurgerFi, when reading guest comments, we noticed a lot of criticism around the French fries, with taste loss due to prior cost-cutting procedures. Upon receiving this feedback, we immediately changed the process to prepare the fries in a crisper way and saw a bounce back in taste satisfaction. Additionally, we also right-sized the menu at BurgerFi, removing less popular and process-intense items that slow down throughput and ticket times. And on November 1, we launched all new menu items at BurgerFi, including three flavors of Chicken Wings and four types of BurgerFi Bowls. Additionally, we are launching a chicken sandwich option that will come sous vide, making it easy and efficient for our employees to prepare. Until now, we haven't really offered a compelling Crispy Chicken Sandwich. We spent the last few months perfecting this Crispy Chicken Sandwich as well as a new Grilled Sandwich to close our menu gap. A fast casual burger branch should have a 10% to 15% chicken mix, and until now, we had virtually none. This will allow us to open a whole new audience of chicken fans. To add to the menu innovation, BurgerFi will also launch a seasonal White Chocolate Peppermint Shake for a limited time only. This shake features vanilla frozen custard, mixed with white chocolate and peppermint, topped with whipped cream and crushed peppermint pieces. Step three is gold standards. Gold standards are the term that defines our pride in product, process and facility and creates brand promises. We're executing at a higher level than before, listening to employee and guest feedback and moving in the right direction to drive long-term sales growth. As I began getting a feel for the business through my store tours at Anthony's, I realized that neither employees nor our customers were happy with our AI phone-answering bot named Becky. As you might recall, Anthony's added the AI bought to its 60 corporate locations last December, handled roughly 500,000 phone orders that come in every year. The goal of this rollout was to drive labor savings and higher check averages. However, Becky wasn't doing a very good job. The system had too many prompts and too many steps which frustrated customers. Team members also expressed that they missed interacting with guests. As a result, one of my first act as CEO was to go back to having employees answer the phone. Removing Becky now allows employees to put a human touch back into their many hundreds of thousands of annual phone transactions. Every interaction with the guests is a moment of truth and hospitality can start first on the phone. Additionally, we expect to see some savings from dropping this costly system, and have already started seeing a boost in call orders and check average as the alienated customers have returned. Step four is telling the world about our brands through intentional marketing efforts. In September, we launched a Kids Eat Free program for BurgerFi. Every Monday, kids 12 and under can enjoy a free kid's meal with a purchase of an adult meal. This is for our dining customers only. We continue to have some fun around the holidays. A National Cheeseburger Day we celebrated with a $3 cheeseburger with a purchase of a beverage. A National Cheese Pizza Day, we offered a $10, 16-inch cheese pizza. We're also focusing our efforts on driving digital engagement and our rewards program. Finally, I'll end with step five, defining the portfolio, which is about both store development and optimization. It's not lost on us that while we make positive headway in products, labor and marketing, the most important part of driving profitability and cash flow is cycling out underperforming ones and opening new stores. Over the last three months, we've been closely reviewing our existing portfolio in addition to our pipeline. Through the DMAs, our restaurants are located and have the demographics to support our brands, we need to understand where we're successful and where we're struggling from a real estate, regional or market perspective. We are currently working on rightsizing our portfolio and closing underperforming restaurants. Our growth going forward will be focused on infilling the Eastern Seaboard within existing markets, where we already have a strong brand awareness from corporate and franchise locations, and fortress around those core markets. We'll also grow what we view as promising markets. As of October 2, our portfolio consisted of 110 BurgerFi restaurants, 26 corporate-owned and 84 franchised, and 59 corporate-owned Anthony's. During the third quarter, we closed one underperforming company-owned and three franchise BurgerFi restaurants as we continue to rightsize our portfolio. Additionally, we closed one underperforming company-owned Anthony's. For the full year, we now expect new store openings to come in at 12 to 15 new restaurants, all of which will be franchised with the exception of our flagship New York City location. Turning to the fourth quarter, we acquired two franchised BurgerFis in South Florida to solidify our presence and help accelerate growth in this core market. These restaurants are located in Hallandale Beach and Miami Beach, two high-traffic, popular tourist spots and represents in the brand's evolution a commitment to continued development in primary markets across the country. We believe these restaurants to be high volume and margin accretive as we fortress South Florida. In December, BurgerFi will be returning to New York City with the grand reopening of our flagship company-owned BurgerFi restaurant and Better Burger Lab on the Upper East Side of Manhattan. Being a born and raised New Yorker, reopening our Manhattan location is a passion point for me. There's no better market for us than New York City. It's the epicenter of food, entertainment, fashion and culture. And having a flagship restaurant there is excellent for brand awareness beyond the immediate geographies. In addition to our standard menu, this location will offer an exclusive lineup of limited edition offerings not available at our other locations, and a late-night menu with a variety of alcoholic beverages. This restaurant will also serve as a venue for special events. South Florida, our home market, is a top destination for New Yorkers and now our guests can discover BurgerFi in South Florida, and go back and enjoy it year-round in Manhattan. This is a win-win for both guests and the brand. We are also still on track to open our first-ever co-branded BurgerFi in Anthony's location in December with our franchisee NDM Hospitality Services. As a reminder, our agreement with them calls for three franchised Anthony's locations in Florida over the next two years. The second and third Anthony's locations through the NDM agreement are expected to be both of the smaller Anthony's prototype. The first of these smaller restaurants is slated to open in the Miami World Center development near the Miami Brightline station. We're also expanding our footprint though non-traditional spaces. We entered into a binding license agreement with Apple Cinemas to operate a BurgerFi franchise location within its Pittsford Plaza Apple Cinema in Rochester, New York. The location will also provide pickup and third-party delivery service capabilities for non-theater customers. This location marks a new and exciting venture for BurgerFi. Non-traditional venues provide opportunities that would normally be available for restaurants and greatly increase our awareness and visibility of our brands. In my experience, the best way to accelerate growth in evolution is through these non-traditional avenues. We're aggressively seeking new development opportunities and our pipeline is growing. We continue to see unique ways to connect our brand to customers where they are in life. And finally, one of my main priorities is finding well-capitalized franchisees with restaurant, retail and hospitality experience. Bringing these operators into our system will result in more disciplined and profitable growth over the long term. We have already begun negotiations with several interested parties for multi-unit Anthony's franchise deals, including the sale of a handful of Anthony's locations. I look forward to sharing more in the coming quarters. In closing, my first 90 days on the job has been very productive, and more confident than ever that I made the right decision to join the company. Sales and margin improvement will not happen overnight, but we are laying the foundation to grow upon. We believe they will come and these improvements will begin to become evident to you, our stakeholders. We're making very educated, smart decisions using a very simple formula: We must win for our guests, win for the team members and win for the shareholders and franchisees. With that, I will now turn the call over to our CFO, Chris Jones, who will provide commentary on our third quarter 2023 performance and update our guidance. Go ahead, Chris.
Chris Jones: Thank you, Carl, and good morning, everyone. While not evident yet in our financials, please note that this new management team is working hard every day, executing a sound strategy that will increase sales and improve margins over time. While top-line sales softness pressured margins, that didn't stop the company from continuing to drive labor and cost efficiencies as evidenced by the continued declines in payroll and corporate expense dollars. The bottom-line is that the more work we do driving efficiency today, the greater margin expansion opportunity as we come out of the recovery. Now, briefly looking at key highlights for the third quarter. Third quarter total revenues were $39.5 million, decreasing 9% from $43.3 million from the same quarter last year. Anthony's contributed $29.5 million to revenues in the current period. The decrease in revenue is a result of a decrease of 15% same-store sales of BurgerFi company stores and a 5% decrease in same-store sales at Anthony's. As Carl noted earlier, Anthony's faced an especially challenging comparison versus the prior year due to aggressive promotional activity in the third quarter last year as part of the company's 20th anniversary. This was compounded by sequentially lower marketing spend in the quarter at the hand of prior management. All of this was compounded by the fact that 3Q is Anthony's slowest quarter, and like some of our peers, trends in the South, specifically in the Miami, Fort Lauderdale region are returning to more pre-COVID trends. Importantly, the company has returned to a more normalized marketing program with an increased focus on driving awareness and, ultimately, traffic, which is already driving improved results. Restaurant-level profit margin came in at 11.8%, down 100 basis points year-over-year. Similar to last quarter, during the quarter, we saw a positive improvement in food, beverage and paper, a trend that should continue. As you've probably heard from others in the industry, inflation has weighed on all commodities, except for beef, and new contracts are yielding lower forward pricing. These positive trends were more than offset by higher labor and other expenses largely due to lower sales volume in the period. Shifting to our individual brand results. The BurgerFi corporate-owned restaurant sales decreased 12% to $7.8 million, reflecting a decrease in same-store sales. Systemwide sales for BurgerFi in the third quarter decreased 9% to $35.7 million compared to $39.1 million in the year-ago quarter, primarily due to declines in same-store sales, coupled with the closure of underperforming company stores. BurgerFi systemwide same-store sales decreased 11% for the third quarter compared to the same period in 2022. For corporate-owned BurgerFi, same-store sales decreased 15%, and franchise restaurant same-store sales decreased 9%. BurgerFi's restaurant-level operating margin decreased 440 basis points to 2.2% for the quarter compared to 6.6% in the prior year third quarter due to loss of leverage on fixed costs due to same-store sales declines. As mentioned earlier, food and paper margins continue to be a positive story, a trend we expect to continue despite the continued pressure on beef prices. While we are not immune to these increases, we don't expect to see the same level of increases that others have seen. Additionally, we are well in the discussion with the secondary supplier that should allow us to insulate ourselves from any volatility in beef prices in 2024 and beyond. We are confident that we will continue to see improvements in food and paper margins due to these benefits, and the positive impact on inventory management and procurement systems that continue to yield improvements. Looking into 2024, we believe that the combination of menu enhancements, improved marketing and the contribution of new stores will return to positive total growth at BurgerFi, at which point, we believe operating leverage of the BurgerFi business will start to emerge in a very compelling way. Turning to Anthony's. Restaurant sales were $29.5 million in the third quarter compared to $31.5 million in the prior year. The decrease was driven by a 5% decrease in same-store sales when compared to the third quarter of 2022. Staying with Anthony's on the restaurant profitability, restaurant-level operating margins decreased 20 basis points to 14.3% for the quarter compared to 14.5% in the prior-year third quarter. This was due to loss leverage on fixed costs because of the same-store sales decline. Food and paper margins declined modestly in the quarter despite dramatically higher coal costs and somewhat higher wind prices. Importantly, we expect to see improvements in Anthony's fourth quarter '23 and a meaningful improvement in 2024, as inventory management and procurement systems currently positively impacting BurgerFi today start to take hold in Anthony's. Additionally, we expect to start rolling out a new POS platform at Anthony's and expect all 59 stores to be converted by the second half of 2024. The system is a significant upgrade to the 20-year-old plus platform in stores today, employing handheld devices and advanced KDS technology to drive greater efficiency and customer engagement in the stores. Note that Anthony's will also see its first franchise location open this quarter with an expectation for more in 2024. Back to consolidated results. We reported a net loss of $5 million in the third quarter compared to a net loss of $3.3 million in the year-ago quarter. This year's net loss is primarily due to decrease in same-store sales and reduced gains on employment retention credits compared to the prior-year period, partially offset by lower depreciation and amortization expenses, lower share-based compensation expense and gain on change in value of warranty liability. Adjusted EBITDA was $813,000 in the third quarter compared to $1.6 million in the prior-year third quarter. The decline in EBITDA was especially evident in the BurgerFi business as the company saw lower royalty income in the quarter due to lower franchise sales volumes, compounded by a challenging year-over-year comparison that includes the benefit of significant franchise termination fees in the prior quarter. Looking forward, as we look to top-line sales volume, we expect to see royalties to do the same and expect to benefit from new restaurant openings over the next several quarters. Moving on to the balance sheet. Our cash balance on October 3, 2023, was $9.7 million compared to $11.9 million on January 2, 2023. When considering our available but undrawn $4 million line of credit, we had $13.7 million of liquidity at the end of the quarter. The decrease in cash of $2.2 million was primarily due to a decrease in cash from operating activities of $3.2 million and investing activities of $0.5 million, partially offset by cash provided by financing activities of $1.5 million. Cash used in operating activities included severance payments due to restructuring, professional services related to obtaining financing under the credit agreement, legal settlements, integration costs and a decline in EBITDA, partially offset by receipts of the employee retention credits. Cash outflows from investing activities was $500,000 due to capital expenditures, offset by proceeds from the sale of an asset. Cash provided by financing activities of $1 million due to proceeds from issuance of common stock and proceeds from related party note payable, partially offset by term loans and line of credit repayments. Looking forward, as we stabilize top-line volumes and resolve non-recurring cash events, we continue to refocus on use of cash for EBITDA growth. Now, turning to our fiscal 2023 outlook. As a result of our year-to-date performance, we are updating our 2023 guidance. We now expect total revenues of $160 million to $170 million, which assumes a low single-digit decline in same-store sales for corporate-owned locations and the addition of 12 to 15 new franchise restaurants, including one new Anthony's and our new BurgerFi flagship in New York City. Adjusted EBITDA of $6 million to $8 million, and we're expecting capital expenditures to be approximately $2 million for the full year. With that, operator, please open up the call for questions. Thank you.
Operator: [Operator Instructions] Our first question today comes from Peter Saleh from BTIG. Please go ahead with your question.
Peter Saleh: Great. Thanks, and thanks for taking the question. I did want to ask maybe just on BurgerFi. There's about a 600 basis point gap between corporate performance and franchise performance. Can you just guys talk a little bit about why that gap and why so wide? Is there pricing differential? Is it more regional? I guess that's my first question on the comp there.
Carl Bachmann: Yeah, Peter, it's Carl. I think you answered your question. So, I think it is a combination of both, different pricing strategies. Also, the franchise business is highly leveraged, I guess, in a positive way through the non-traditional space. So, they do much higher volumes, obviously, to [indiscernible], et cetera. I think that's probably the biggest difference. And then there's some regional performance, too. We saw kind of a back to pre-COVID normalcy of trends that we haven't seen in Florida in the last few years. And the corporate restaurants are heavily, matter of fact, all but one, are in Florida. But I think that's the difference.
Peter Saleh: Great. And then just on the -- I think you guys mentioned you're assessing the system and closing some underperforming units. Any thoughts on when this assessment will be complete and how many units you plan to close, and just regionality, if you can offer that?
Carl Bachmann: Sure. So, we've already assessed and we'll continue to do that through the end of the year. We're probably in the low single digits of looking at what's left in our portfolio. So, we've already made some closures, both on corporate and franchise side. So, we're in a much better place today. So, I think by the end of the year, we'll have a very good idea and there's been a full good amount of time to assess.
Peter Saleh: Got it. And then just, Carl, you mentioned a healthy fast casual brand should have 10% to 15% chicken mix. You guys are launching the new chicken sandwich. You're not really involved in that category right now. How do you plan to get the word out on this to kind of drive that mix higher, which, in essence, really should be incremental?
Carl Bachmann: Absolutely. Well, first of all, in November 1, we launched the first leg of that with our new Chicken Wings, and it's been extremely successful. We love the fall, football wings, comfort food, and we have a great product there. We've had great results. As a matter of fact, the Chicken Wings were the highest reviewed new LTO in over four years at BurgerFi, the highest reviews we've gotten on any product line. So that was step one. So that's already started and really being able to share that digitally in social media, tying into the seasonality of football and wings. So, we really think that was kind of the starting point. And then, when you think about comfort food and chicken sandwiches and playing in the chicken wars, that's kind of our next step. And we're getting ready to launch our new improved Crispy Chicken and our Grilled Chicken offerings. We'll be testing in our corporate restaurants at the end of this month. So that's really where we're starting with our launch.
Peter Saleh: Great, thanks. I'll pass it along.
Operator: [Operator Instructions] Our next question comes from Mike Albanese from EF Hutton. Please go ahead with your question.
Mike Albanese: Yeah. Hey, good morning, guys. Thanks for taking my question. Just one regarding kind of the store optimization and kind of what you're seeing regarding comp sales, maybe the divergence between your highest-performing stores and your lowest-performing stores, probably excluding the non-traditional mix. Any insight in to kind of that divergence would be helpful.
Chris Jones: I mean, I think from our perspective, I think what Carl talked about -- this is Chris, Mike, is we certainly are seeing better trends as it relates to more recently post this launch. So trends certainly within the BurgerFi business has really picked up from a traffic perspective. So, we feel certainly good about that. As you mentioned in terms of overall location, we are returning to a more seasonalized routine. So, we have seen sort of that Miami-Fort Lauderdale area. We had a little bit more challenged in September than we are expecting. But as trends of this started to pick up and sort of late in October, November, you've certainly seen improving trends there as well. And I don't think we're alone. Since looking at some of our competitors out there, we've seen a similar kind of trend there as well. So, I'm not sure we can normally say there's any sort of regionality other than that and any other sort of high gap, sort of high-low performance with specific to one area.
Mike Albanese: Got it. That's helpful. I guess just maybe to be more direct, I mean you're seeing stores or some of your locations that are having positive comps versus you have underperforming stores that are seeing very negative comp sales, right? Because the number that we see is kind of a mix of everything. I'm just curious what kind of the spread between the two are.
Carl Bachmann: Yeah. We have -- I think the thing we did when we first started here is we realigned our operational team. In BurgerFi, the corporate side is broken into three regions. And those three regions, there's some diversion between the three. But the first leader that we put in place has had the most time in place and we're seeing positive comps in his region. So, I think that's a big part of that securing operations. So there is, for sure, this bifurcation, if you will, of stores that are high performers as well as stores that are not. But I think a lot of it was about solidifying our operational leadership team. And since we've done that, well, a couple of things have happened. Our throughput has gotten better. Our ticket times have gotten better. Our turnover is significantly better, both hourly and management. So, really that piece of operational focus has helped us, and that's really kind of created that bifurcation. And then, kind of early into the third quarter, we then added some more strength to our operational team. And now we're starting to see positive green shoots, if you will, in those two markets as well. So, I think that's probably the separation as opposed to a regional separation, if that makes sense.
Mike Albanese: Yeah, it does. Thank you very much. That's helpful. That's it from my end, guys. Thank you very much.
Carl Bachmann: Thank you.
Operator: And ladies and gentlemen, with that, we'll be concluding today's question-and-answer session. I'd like to turn the floor back over to Carl Bachmann for any closing remarks.
Carl Bachmann: Thank you. I just want to say thank you for your time and questions. Chris and myself and the entire team are really excited about our new direction and our recent momentum. I look forward to sharing our continued improvements on our next call as we progress on this journey. Have a great day. Thank you.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.